Operator: Good day and welcome to QuantumScape's Fourth Quarter 2024 Earnings Conference Call. John Saager, QuantumScape's Vice President of Capital Markets, you may begin your conference.
John Saager: Thank you, operator. Good afternoon and thank you to everyone for joining QuantumScape's fourth quarter 2024 earnings call. To supplement today's discussion, please go to our IR website at ir.quantumscape.com to view our Shareholder Letter. Before we begin, I want to call your attention to the Safe Harbor provision for forward-looking statements that is posted on our website as part of our quarterly update. Forward-looking statements generally relate to future events, future technology progress or future financial or operating performance. Our expectations and beliefs regarding these matters may not materialize. Actual results and financial periods are subject to risks and uncertainties that could cause actual results to differ materially from those projected. There are risk factors that may cause actual results to differ materially from the content of our forward-looking statement for the reasons that we cite in our Shareholder Letter, Form 10-K, and other SEC filings, including uncertainties posed by the difficulty in predicting future outcomes. Joining us today will be QuantumScape's CEO, Dr. Siva Sivaram; and our CFO, Kevin Hettrich. With that, I'd like to turn the call over to Siva.
Siva Sivaram: Thank you, John. I'd like to briefly recap our achievements over the past year and lay out our goals for 2025. 2024 was a watershed year for QuantumScape, reinforcing our status as the global leader in solid-state battery technology. We achieved our four key goals for the year. We shipped Alpha-2 samples, incorporating advanced packaging and high-loading cathodes. We ramped Raptor, the first deployment of our disruptively faster and more efficient separator heat-treatment process. We began low-volume B0 production of QSE-5 cells with industry-leading performance, energy density of 844 watt hours per liter, and capable of exceptional safety, fast charging in about 12 minutes, excellent discharge power and low temperature operation. Most recently, in December, we released our advanced Cobra separator heat-treatment equipment, setting the stage for higher-volume B1 sample production in 2025. Last year we also unveiled the cornerstone of our commercial licensing strategy, our partnership with PowerCo, the battery manufacturing company of the Volkswagen Group. We are building out a 150 plus person joint team with experts from both companies that's working together on site at our facilities in San Jose, California. This team has a singular goal, industrialize the QSE-5 technology platform for use in electric vehicles leading up to a gigawatt hour scale production of the QSE-5 platform in PowerCo's own facilities. For gigawatt hour scale production, a package of technology and intellectual property is required to produce cells based on our QSE-5 platform. This package includes among other things, equipment designs, materials, process definitions and recipes, metrology specifications, and software APIs. We are making significant progress in developing all the necessary elements of this technology package. Our baseline for the B0 cell production currently uses the Raptor separator process. The baseline has significantly improved yield and reliability as we have learned and refined the various subcomponents of the process. Raptor in particular has demonstrated much improved separator quality and process stability, and will serve as the workhorse in separator production while we prepare to transition to Cobra. We expect to switch our baseline process from Raptor to Cobra in 2025, enabling higher-volume B1 sample production. With a successful 2024 behind us, it's time to turn our attention to 2025. We are focused on readying our technology platform for transfer to prospective licensees, working shoulder-to-shoulder with our partners. The singular aim of this effort is to bring our solid-state lithium-metal technology to market beginning with our prospective launch customer. Our key goals for the year reflect this. Our first goal is to bring Cobra into baseline production. Now that Cobra heat-treatment equipment has been released, we will finish qualifying downstream processing equipment and metrology capable of keeping pace with much higher rates of separator production. When the full separator production flow is in place and achieving sufficient yield and quality, Cobra will supplant Raptor in the baseline. Our second goal is to install higher-volume cell production equipment. Together with PowerCo, we are industrializing the rest of the cell assembly process to match the higher throughput of Cobra. To achieve QSE-5 B1 sample production, the joint team will work on automation, equipment development and installation of higher-volume cell build equipment. Our third goal and our most significant operational milestone is to ship QSE-5 B1 samples for customer testing. B1 samples are intended to reflect a mature set of cell performance and manufacturing specifications and initial volumes of QSE-5 B1 cell shipments will support the demonstration phase of the launch program with our prospective customer, targeted for 2026. Our final goal for the year is to expand our commercial engagements. The partnership with PowerCo is the blueprint for achieving our ambition of licensing our technology platform across the electric vehicle and energy storage industries. This year, we aim to expand our portfolio of potential licensing partnerships and we are in active discussions with two automotive OEMs. We are also building relationships with technology partners and global players across the battery value chain. I'd like to say a few final words about our strategic outlook. Our mission is to revolutionize the electric vehicle and energy storage industries. The core of our value creation is our technology platform, and the success of this platform is determined by three main elements, Process, Product and Partners. With respect to process, in 2024, we made major strides with our next-generation Cobra separator heat-treatment process. The first version of Cobra equipment is already operating, and thanks to dramatically better efficiency and process economics, Cobra will support increasing volumes of B1 samples in 2025 and serve as the key enabler to gigawatt hours scale deployment of our technology. On the product front, 2024 saw the debut of our industry-leading first product, the QSE-5 cell, boasting a combination of performance features which demonstrates the compelling value of our technology platform. QSE-5 represents a no-compromise solid-state battery unmatched in the industry. In 2025, we will produce higher volume B1 samples of the QSE-5 product for our prospective launch customer and others. Finally, in 2024, we unveiled our partnership under our capital-light licensing model. PowerCo's personnel, expertise and resources will help drive the rapid industrialization of our technology platform. We also believe this licensing partnership is the first of many, and in 2025, we will expand our commercial engagements. This year, we are building momentum on all fronts, integrating Cobra and high-volume B1 cell production processes into our baseline, shipping B1 samples of our QSE-5 product and forging partnerships across the battery value chain. Executing on these goals will further cement our place as the global leader in solid-state batteries. Without understating the tasks ahead, we are closer than ever to achieving our long-term goals, industrializing our next-generation battery technology platform, creating exceptional value for shareholders and revolutionizing energy storage. Thank you for your support and we look forward to reporting on our continued success in the year ahead. With that, let me turn things over to Kevin.
Kevin Hettrich: Thank you, Siva. Capital expenditures in the fourth quarter were $11.2 million and for the full year 2024 were $62.1 million, within guidance. Q4 CapEx primarily supported equipment purchases for lower volume QSE-5 B0 sample production as well as the Cobra process and other equipment as we prepare for higher volume QSE-5 B1 sample production in 2025. GAAP operating expenses and GAAP net loss in Q4 were $128.7 million and $114.7 million, and for full year 2024 were $525.2 million and $477.9 million respectively. Adjusted EBITDA loss was $64.7 million in Q4, in line with expectations and $285 million for full year 2024, within guidance. A table reconciling GAAP net loss and adjusted EBITDA loss is available in our Shareholder Letter. For 2025, we forecast CapEx of between $45 million and $75 million and adjusted EBITDA loss to be between $250 million and $280 million. This reduction in overall spend from 2024 levels further aligns our workforce and operational focus with our capital-light business model, supporting our 2025 goals including shipping initial volumes of QSE-5 B1 cells to support the demonstration phase of the launch program with our prospective customer targeted for 2026. We ended 2024 with $910.8 million in liquidity, which includes $128.5 million of net proceeds raised under our at-the-market equity program. This extends our cash runway into the second half of 2028, six months longer than our previous guidance. Any additional funds from customer inflows or from capital markets activity would further extend this cash runway.
A - John Saager: Thanks, Kevin. We'll begin today's Q&A portion with a few questions we've received from investors or that I believe investors would be interested in. Siva, commercialization plans are at the forefront of investors' minds. What are the plans for PowerCo and for your QSE-5 launch customer?
Siva Sivaram: Thank you, John. As we said in the Shareholder Letter, B1 samples are going to support the demonstration phase of our customers launch program, which is targeted for 2026. As much as I'd like to share more, I need to maintain customer confidentiality. With respect to our PowerCo relationship, in the early part of last year, we made the decision to pursue a capital-light licensing business model. The first demonstration of feasibility of this model is the collaboration agreement with PowerCo. We have a well-developed long-term roadmap of industrialization between the two companies. The near-term work involves getting our B1 sample production running on site in San Jose and PowerCo is helping out on elements of cell production. In parallel with that effort, we are working to build a technology package for PowerCo to take our QSE-5 platform to gigawatt hour scale production and we are working on all aspects of this package today. The QSE-5 platform is packaged into a customized technology solution that will be licensed to individual customers. On that front, we are expanding our commercial engagements and are in active discussions with two automotive OEMs about licensing arrangements.
Kevin Hettrich: And just to give investors additional color on the typical progression of licensing arrangements, customer cash inflows may occur ahead of revenue from licensing. These cash inflows may take many forms including NRE payments, reimbursement of certain expenditures and license prepays. Licensing revenues would then follow successful technology transfer and partner startup production.
John Saager: Thanks so much guys. Kevin, we're guiding for the midpoint of CapEx to be about flat and adjusted EBITDA loss to be lower in 2025 than 2024. Is this because of the focus on a licensing model and what is the company doing to adapt to this model?
Kevin Hettrich: Thank you for the question, John. There are three primary drivers. First, as you mentioned, is our licensing model. Our task is to develop and transfer the package of technology and intellectual property to our licensing partner. This task requires less spending when compared to a manufacturing business model. Second, is the collaboration with VW PowerCo and their contribution of resources and skilled personnel. And third is the progression from Raptor to Cobra and the industrialization of the rest of the cell assembly and production process flow.
John Saager: Thanks, Kevin. Siva, One final question for me, focusing on the near term, is there anything more you can share about QuantumScape's transition from smaller volume B0 sample production to higher-volume B1 sample production?
Siva Sivaram: John, the solid-state separator is the core of our technology platform and getting a gigawatt hour capable process for separator production up and running is the way we take this technology to a global scale. To scale separator production, all Cobra equipment has been turned on. The heat treatment equipment has been released. The downstream equipment has been powered on. Our first goal for 2025 is to get the whole Cobra production flow into the baseline. When I walk around the line and compare the Cobra equipment to Raptor, it is really remarkable how much more efficient Cobra is. The innovation here is dramatic. State-of-the-art ceramics production can take days for heat-treatment step. Raptor reduced this to hours. Cobra reduced this to a matter of minutes with a significant footprint reduction and separator quality improvements and we are quite pleased with the early results. We are now actively working on a more automated line that can match Cobra's output and produce the higher-volume B1 samples that will go into the demo phase of the launch next year. In this effort, engineers from PowerCo are working closely with us on getting higher volume cell production up and running.
John Saager: Okay, thanks so much. We're now ready to begin the live portion of today's call. Operator, please open up the line for questions.
Operator: [Operator Instructions] We'll go first to Winnie Dong, Deutsche Bank.
Winnie Dong: Thank you so much for taking the questions. My question is around the active discussion with the two auto OEMs that you mentioned in the Shareholder Letter. I'm just curious to hear the kind of feedback you might be getting during the process. Because we're sort of in this uncertain environment with like EV policies and the narratives around it. Do you sense more engagement, same engagement, or less engagement from your customer pipeline amid all of this?
Siva Sivaram: Winnie, thank you. It's an important question. We have not seen any reduction, if anything, excitement about engagement with us. We feel and our customers feel as well that the long-term secular growth in electrification of transportation is still underway. And on top of it, probably the impediments to the adoption of electric vehicles revolve primarily around the batteries. And they see us as the longer term solution to that problem. So the engagement with our customers continues to be robust. They are excited. And as you'd expect, these discussions involve deep technical diligence, working with senior executives in the company, making sure that the licensing business model works with them, making sure that there are other intellectual property and business terms that are worked out. So these are all proceeding in parallel and these interactions have been very involved between the teams.
Winnie Dong: Got it. Very helpful. Thank you. And then my follow up question is on the joint team of 150 plus people that will be billed out as part of the partnership with PowerCo. Maybe can you go into more specifics on what each team is bringing? And then the kind of deliverables that are expected out of this team in the next 12 months or so. And then of this 150 personnel how many is from QuantumScape and how many is from PowerCo if you are able to disclose that? Thanks.
Siva Sivaram: Winnie, let me give you a broader perspective on this and give you some specific answers. We have the basic technology platform in a good place when we delivered the B0 cell. It has the industry leading combination of no compromise energy density, power density, particularly safety, low temperature operation and discharge power capability. That is the starting point from which both teams are working on. The PowerCo team is particularly adept in manufacturing industrialization. So they are helping us with designing tools, making sure that the automation works very well, works very well in a large industrial setting, so that their focus is on the tools and tool development and that's what they'll be responsible for along with us. We continue to develop our core IP with respect to the separator, making sure that we have a truly scalable Cobra process that's deployed. And we are approximately half and half in this effort in the number of people that are going to be here. Clearly there are going to be a lot more of our people working on the core technology here. But in the development phase of the 150 people, we expect it to be half and half.
Winnie Dong: Got it. That's very helpful. I'll pass along. Thanks.
Siva Sivaram: Thank you.
Operator: The next question today comes from Jordan Levy, Truist Securities.
Henry Roberts: Hi, all. It's Henry on for Jordan here. Thanks for all the color with this release. Maybe just to start by going to PowerCo, should we be looking for any incremental updates or details throughout the year kind of concerning the partnership outside of the higher volume production equipment installation? Thanks.
Siva Sivaram: So Henry I have to be absolutely careful, I don't give away what PowerCo is planning on announcing. We are in very, very close contact obviously at all levels of the company. We have continuous interactions on this and very rigorous timelines that both companies' management constantly evaluate. I am very, very sure PowerCo and Volkswagen at the right time will make the announcements and they will tell us what we can talk to you all outside. All I can tell you is the collaboration and the industrialization process between the teams is going very well.
Henry Roberts: Got you. Understood. And then maybe with the B1 cells, can you talk maybe a little more to the performance improvements you all expect to see from those versus the B0s? Is that kind of the focus on more reliability or are there some other key metrics we should be looking at where you all looking for when B1 start to roll off? Thank you.
Siva Sivaram: Henry, when we announced the B0 cell performance, you got to see how good that cell is, 844 watt hours per liter, extremely good power performance, being able to charge in just over 12 minutes, discharge power at very, very high rates, being able to take it to minus 30 degrees C and wonderful safety performance. So we are quite pleased with that samples performance. As you mentioned, our work right now is in the industrialization of it and taking it to a higher volume. More automated equipment, Cobra process coming in, making sure that we are well documented in developing a transfer package, the technology package that we keep talking about that consists of a set of equipment, a set of materials, a set of recipes for running that materials through that equipment, making sure that we have the software and metrology that wraps all this together. That's where the big focus is in getting it to the higher volume B1 production. And those B1 samples of course will be going into supporting the demo program in 2026.
Operator: We'll take the next question today from Jed Dorsheimer, William Blair.
Mark Shooter: Hi. You have Mark Shooter on for Jed Dorsheimer. Congrats on all the progress made in 2024. I was wondering if you had any thoughts on where the scale up of PowerCo will be located given the IRA versus the Trump administration puts and takes. Does that influence where the scale up will occur?
Siva Sivaram: Mark, I should not speak for PowerCo, but PowerCo has announced factories in three locations, in Germany, in Spain and in Canada. They have not officially announced anything in the United States and I would expect that they'll be thinking about it longer term in light of all these announcements just like you and I have been looking at. But I have to be very careful what I announce for PowerCo.
Mark Shooter: Understood. Thanks for the color. That's helpful. Probably prior to that large scaleup is your prospective launch customer, can you give us any color on what level of scale is necessary for that? Are there any technical points along the way you should, you can point us to, to check progress on that prospective launch customer?
Siva Sivaram: Yes, the B1 samples that we are going to be making in higher volumes here in San Jose go directly into the launch customer's demo program. And those that the cells performance themselves is already well proven. As we increase the volume of production here with Cobra, that's what's going in. This is a high profile project, relatively smaller volume, so that they can go out and launch this. So you are going to hear again from the customer than from us. And we are being very careful in how we market this ourselves. It's not ours to say that.
Mark Shooter: Understood. Thank you very much.
Operator: Your next question comes from the line of Davis Sunderland with Baird. Your line is open.
Davis Sunderland: Hey, good afternoon, guys. Thank you for the time. Appreciate taking my questions. Just wanted to ask first, could you maybe speak to your discussions or appetite for discussions, probably a better way to frame it up, that you might be having with Chinese OEMs specifically or if the current geopolitical landscape has shifted focus away from that market? Then I have one follow-up.
Siva Sivaram: We have not come out and talked about who our OEM partners are outside of Volkswagen and PowerCo. Our existing relationship as we have talked about with six large OEMs cover a vast swath of the automotive OEM landscape from pure play EV players to high volume producers to geographic diversity. We haven't explicitly come out and talked about any one customer. And again maybe it looks like it's a theme that I'm repeating myself many times today because we're talking a lot about customers. I cannot be the one that talks about our customers plan till they tell me that we can talk about. In the case of Volkswagen-PowerCo they have released press releases with our name in it. We have jointly released statements. So it is easier for me to talk about Volkswagen-PowerCo, but the rest of the six customers, we haven't explicitly called out and told you who they are.
Davis Sunderland: Understood. That makes sense. Don't mean to badger. Maybe just for one quick follow up. Lots of announcements out there, mostly at lab scale and other people trying to develop technology that will rival yours. But have you seen anyone in particular challenging your IP or playing catch up maybe? If that's the right way to say it. Thank you.
Siva Sivaram: I'm glad you asked this question. I mean I don't get to brag often enough in these calls. We do hear companies do both ways. You can see a lot of announcements in the battery space. People who have undifferentiated technologies shutting down their shop in large scale, smaller players switching their business models to go sell either materials or other things and some large players making announcements about solid state without giving data. We have put out what we consider is the gold standard for measurement and we show the data every time, whether it is on how we measure energy density, how we measure power, how do we measure temperature, what's the pressure used, what's the cycling up and cycling down rates, et cetera. We don't see anyone else reporting consistently data that would match what we have put. This is why I call ours the no compromise solid-state battery and QS continues to be the global leader in solid-state batteries.
Davis Sunderland: Thank you, Siva. Congrats team.
Siva Sivaram: Thank you.
Operator: [Operator Instructions] Your next question comes from Mark Delaney with Goldman Sachs. Your line is open.
Aman Gupta: Hi. You have Aman Gupta on for Mark Delaney. Thanks for taking the questions. Just to get a better color on the 2026 launch, just to clarify, is that a kind of full launch or I think you mentioned something about it being a demo launch and kind of what does it mean to be launched and then how should we think about that being in terms of like revenue recognition?
Siva Sivaram: Kevin, you want to take that?
Kevin Hettrich: Sure. To point you to a couple of comments in the letter, in our spoken word, this is a high visibility, low volume project, bringing our technology into a real world application, we see as a major commercialization milestone that in the licensing agreements with which we are targeting the typical progression of things, the cash flows may occur ahead of revenue from licensing. Those cash flows can take many forms including NRE payments, reimbursement of certain expenditures and licensing prepays and that licensing revenues would follow from the successful technology transfer and partner start of production.
Aman Gupta: Got it. Thank you for that. And then just to kind of follow up, understood that PowerCo is helping with some of the industrialization and you're working towards this launch in '26. So how should we kind of think about the pace of CapEx and OpEx noting that you've had quarter-on-quarter pretty decent step down in SG&A, but then somewhat step-up in R&D?
Kevin Hettrich: That's a fantastic question. On the OpEx, you'd note that our entire guidance range this year is below actuals from full year 2024, and on CapEx, I can be even more expansive. The last few years we've made pretty significant investments into our San Jose facilities. That includes the buildings, the equipment set, and with success this year, if we hit our second and third goals, we'll be operating our Cobra process and further industrialized downstream processes. And we see that equipment set as being quite capable for QSE-5 tech transfer. After 2025, regarding the funding of CapEx, outside of subsequent product development needs, we expect any significant CapEx to be funded by partners as part of a commercialization program.
Aman Gupta: Thank you for that color. It really helps. I'll pass it on.
Operator: This concludes the question-and-answer session. I will turn the call back to Siva for closing remarks.
Siva Sivaram: Thank you, operator. With that, thank you for listening, and we look forward to updating you on further progress in the months to come.
Operator: This concludes today's conference call. We thank you for joining. You may now disconnect.